Operator: Good morning, and welcome to the NextEra Energy, Inc. Fourth Quarter and Full Year 2025 Earnings Conference Call. All participants will be in listen-only mode. Should you need assistance, please signal a conference specialist by pressing the star key followed by zero. After today's presentation, there will be an opportunity to ask questions. Please note that this event is being recorded. I would now like to turn the conference over to Mark Eidelman, Director of Investor Relations. Please go ahead, sir.
Mark Eidelman: Good morning, everyone, and thank you for joining our fourth quarter and full year 2025 financial results conference call for NextEra Energy. With me this morning are John Ketchum, Chairman, President and Chief Executive Officer of NextEra Energy; Mike Dunne, Executive Vice President and Chief Financial Officer of NextEra Energy; Armando Pimentel, Chief Executive Officer of Florida Power and Light Company; Scott Borys, President of Florida Power and Light Company; Brian Bolster, President and Chief Executive Officer of NextEra Energy Resources; and Mark Hickson, Executive Vice President of NextEra Energy. John will start with opening remarks, then Mike will provide an overview of our results. Our executive team will then be available to answer your questions. We will be making forward-looking statements during this call based on current expectations and assumptions, which are subject to risks and uncertainties. Actual results could differ materially from our forward-looking statements, including if any of our key assumptions are incorrect because of other factors discussed in today's earnings release, the comments made during this conference call, and the Risk Factors section of the accompanying presentation or in our latest reports and filings with the Securities and Exchange Commission, each of which can be found on our website, www.nexteraenergy.com. We do not undertake any duty to update any forward-looking statements. Today's presentation also includes references to non-GAAP financial measures. You should refer to the information contained in the slides accompanying today's presentation for definitional information and reconciliations of historical non-GAAP measures to the closest GAAP financial measure. With that, I'll turn the call over to John.
John Ketchum: Thanks, Mark, and good morning, everyone. NextEra Energy had strong operational and financial performance in 2025, delivering full-year adjusted earnings per share of $3.71, up over 8% from 2024 and slightly better than what we communicated as the top end of our range at our investor conference in December. Our expectations are to grow adjusted earnings per share at a compound annual growth rate of 8% plus through 2032, and we are targeting the same from 2032 through 2035, all off the 2025 base. As we enter a new year, we're focused on the opportunity in front of us. America needs more electrons on the grid, and America needs a proven energy infrastructure builder to get the job done. That's who we are, and that's what we do. NextEra Energy develops, builds, and operates energy infrastructure across the energy value chain, whether it's power generation, storage, or linear electric and gas infrastructure. It's why I believe we are well-positioned for the future as we execute against our strategic plan with the over 12 ways to grow that we presented in December. Importantly, our forecasted growth is visible and balanced between our regulated and long-term contracted businesses. Last year was about laying the groundwork for the future of our business. This year is about execution, which is our strong suit. Let's start with FPL, which begins the year with a new four-year rate agreement that runs through the remainder of the decade. The Florida Public Service Commission unanimously approved the agreement in November and issued its final order last week. The agreement allows us to make smart, long-term infrastructure investments on behalf of our customers while keeping bills well below the national average. FPL expects to invest between $90 billion and $100 billion through 2032, primarily to support Florida's growth while continuing its track record of keeping customer bills low and reliability high. While customer affordability is a major concern throughout many parts of the U.S., FPL's typical retail bill today is more than 30% lower than the national average. And FPL expects typical residential customer bills to increase only about 2% annually between 2025 and 2029, which is lower than the current inflation rate of about 3%. Keeping customer bills low is our number one priority, and we do that by continuously investing in and executing against the best-in-class operating model. That discipline delivers real results. FPL's non-fuel O&M is more than 71% lower than the industry average, reinforcing our position as the lowest-cost electric utility operator in the country. The four-year rate agreement also provides an allowed midpoint regulatory return on equity of 10.95%, with a range of 9.95% to 11.95%. FPL's equity ratio remains at 59%, and the agreement includes a rate stabilization mechanism. FPL's agreement also includes a large load tariff. We believe the tariff strikes the right balance by providing hyperscalers with speed to market at a competitive price while just as importantly protecting our existing customers from bearing infrastructure build-out costs needed to support hyperscalers. FPL's speed to market advantages combined with its best-in-class service is creating significant large load interest to the tune of over 20 gigawatts to date. Of that, we are in advanced discussions on about nine gigawatts, a portion of which we now believe we could begin serving as soon as 2028. For context, every gigawatt is equivalent to roughly $2 billion of CapEx and earns the same return on equity as other FPL investments. Florida's growth requires continued investment in energy infrastructure. The state is expected to surpass 26 million by 2040. But it's more than just people moving into the state. Today, Florida is a $1.8 trillion economy, the fifteenth largest economy in the world if the state were a standalone country. Florida leads the nation in key economic indicators like income migration, manufacturing job growth, and corporate headquarter relocations. And that's what makes Florida's growth different than in the past. A diverse set of high-growth industries is bringing new businesses to the state from the Space Coast to Miami and all across Florida. It's why Florida expects to add 1.5 million new jobs by 2034. This is high-quality economic development with high-wage jobs and innovative industries. FPL's continued infrastructure investments help make this economic transformation possible. Energy Resources also continues to grow its regulated portfolio, electric and gas transmission. NextEra Energy Transmission is one of America's leading independent electric transmission companies with total regulated and secured capital of $8 billion. In fact, it's almost twice the rate base size of Gulf Power when we bought the company in 2019. Our scale and experience position us well as we execute on new transmission opportunities across America. NextEra Energy Transmission has secured roughly $5 billion in new projects since 2023. This includes PJM's recommendation in December that NextEra Energy Transmission and Exelon be selected to develop a new $1.7 billion high-voltage transmission line, which is expected to enhance the flow of more than seven gigawatts of power across the region. We expect PJM to make a decision on this project next month. We also continue to execute against our plan to grow our gas transmission business. Energy Resources has ownership interests in more than 1,000 miles of FERC-regulated pipelines, a portfolio with organic expansion opportunities. For example, Mountain Valley Pipeline has multiple ways to grow and is ideally positioned to bring gas from the Marcellus shale even further into the Southeast, where gas demand is already high. It's why we acquired a portion of ConEd's interest in MVP earlier this month. We'll continue to look for opportunities to optimize and expand our regulated gas pipeline portfolio as we provide energy infrastructure solutions to enable large loads across the country. Putting it all together, we expect our combined electric and gas transmission business at Energy Resources to grow to $20 billion of total regulated and invested capital by 2032, a 20% compounded annual growth rate off a 2025 base. Energy Resources had another record year originating new long-term contracted generation and storage projects. We added approximately 13.5 gigawatts to our backlog, which includes a record quarter of origination of 3.6 gigawatts since our last call. We have now originated approximately 35 gigawatts over the last three years. To put that into context, 35 gigawatts of power generation would rank as the fourth largest public utility in the U.S. What's also important is adding electrons to the grid. Again, that's what America needs right now. And that's what Energy Resources did, putting 7.2 gigawatts of projects into commercial operations since last year, an Energy Resources record for a single year. Together, FPL and Energy Resources placed into service approximately 8.7 gigawatts of new generation and storage projects in 2025. We continue to be well-positioned to build more renewables, which remain the lowest-cost and fastest solution to meet our customers' immediate needs. We've secured solar panels to meet our development expectations through 2029, and we've begun construction on those projects too. We've also secured 1.5 times our project inventory against our forecast, providing us permitting protection. Few companies in our industry are positioned like us. We've taken the same approach for battery storage, securing a domestic battery supply through 2029. That's important because battery storage now represents almost one-third of our 30-gigawatt backlog, with nearly five gigawatts originated over the past twelve months. We don't see this demand slowing. Nearly every region in the country needs electrons, and battery storage is the only new capacity resource available at scale. With a national footprint and large land position, we can work with customers across the country on standalone storage. But that's just the beginning. We can also take advantage of our existing footprint by co-locating storage where we already have connections to the grid, effectively doubling down or doubling capacity at a site. While it's the early innings, we're looking at long-duration opportunities too. In all, if you just look at standalone and co-located battery storage assets, we have a 95-gigawatt pipeline. If you assume we can ultimately expand each of these sites, we could potentially double our total backlog. It's a huge competitive advantage and positions us well in a market that's showing strong demand. We also continue to advance our potential gas-fired generation build with a pipeline that's now topped 20 gigawatts. To get us started, we've secured gas turbine slots with GE Vernova to support four gigawatts of gas-fired generation projects. We have a lot of experience building gas-fired generation, as no one has built more in the last twenty years than NextEra Energy. Energy Resources remains focused on both optimizing and adding generating capacity to its nuclear fleet. We continue to advance the recommissioning of our Duane Arnold nuclear plant in Iowa, made possible by the twenty-five-year power purchase agreement with Google we announced last year. Our nuclear fleet outside Florida is also ripe for advanced nuclear development. That's why we are spending time closely evaluating the capabilities of various SMR OEMs. All told, we have six gigawatts of SMR co-location opportunities at our nuclear sites and are working to develop new greenfield sites. Of course, any nuclear newbuild would have to include the right commercial terms and conditions with appropriate risk-sharing mechanisms that limit our ultimate exposure. In addition to Duane Arnold, we have capacity available at our nuclear plant in New Hampshire and Wisconsin. Last year, Point Beach received a subsequent license renewal to operate for another twenty years in Wisconsin and then signed a PPA extension for 14% of the plant's capacity. That deal alone contributes $0.03 of annual adjusted earnings per share. Extrapolate that to the rest of the plant, and you would get $0.21 of annual earnings per share, which is a meaningful increase to the annual earnings per contribution from the current contract. We are also seeing similar interest at our Seabrook nuclear plant in New Hampshire. Between the two of them, we have 1.7 gigawatts of capacity we're offering to the market. Our ability to build all these forms of energy infrastructure is why Energy Resources continues to be a partner of choice for hyperscalers. Remember, companies investing tens of billions of dollars in technology infrastructure don't have time and can't afford to take a chance on a failed project. We come to the table with a national footprint, decades of development experience, unmatched energy infrastructure capabilities, and a strong balance sheet to support their needs. Our breadth and depth allow us to have a multi-year, multi-gigawatt, multi-technology discussion with hyperscalers. These data center hub opportunities, as we call them, represent a powerful channel to originate large generation projects with expansion opportunities where we can grow alongside our hyperscaler partner rather than building on a project-by-project basis. As we discussed in December, our data center hub strategy is all part of our new 15 by 35 origination channel and goal for Energy Resources to place in service 15 gigawatts of new generation for data center hubs by 2035. This dedicated work stream to power data center hubs is expected to help us achieve our existing development expectations through a mix of new renewables, battery storage, and gas generation. And it gives us one potential path to achieve the six gigawatts, the midpoint of our development expectations, of new gas-fired generation build through 2032. We currently have 20 potential hubs we are discussing with the market. We expect that number to rise to 40 by year-end. We won't convert every single hub, but I'll be disappointed if we don't double our goal and deliver at least 30 gigawatts through this channel by 2035. To get there, Energy Resources is laser-focused on positioning the company to where we see the large load market going, and that's to bring your own generation or BYOG. And it makes sense given affordability concerns across the U.S. Hyperscalers can solve that problem by bringing and paying for their own power generation infrastructure. In fact, this issue took center stage earlier this month when the White House and a bipartisan group of Mid-Atlantic governors came forward with the framework of a potential solution to address the mounting affordability challenges in the PJM market. We believe we are uniquely positioned to deliver for the BYOG market across America. That's because, at our core, Energy Resources is a builder. We also have a strong balance sheet, and we have decades of experience and the team required to get the job done. Here's what also separates us. We can work with hyperscalers and the local service provider, whether it's an investor-owned utility, a municipal utility, a cooperative, or a retail electric provider in a competitive market. We have deep, long-standing relationships across the board. That matters. On top of that, our renewables and storage portfolio provides us with a speed-to-market solution to get the initial phase of the data center off the ground and built. Think of it as a hook, so to speak. That's important for two reasons. First, it means the hyperscaler doesn't have to wait. Second, it allows us to then grow with our data center customers over time by providing additional capacity through other power generation solutions like new gas-fired generation or SMRs. Importantly, we've done the work to make sure we are ready to build what our customers need when and where they need it. We're not just building new infrastructure; we are also working to maximize the value of our existing assets. I talked about our recontracting opportunity at our nuclear sites. It's the same story across our renewables fleet, where we have up to six gigawatts of recontracting opportunities through 2032. The PPAs for these projects were signed more than a decade ago during much different market conditions. As the PPAs begin to expire over the next several years, we believe recontracting will command a higher price. Energy Resources' customer supply business also creates a key competitive advantage, providing significant market insight. And that portfolio and knowledge base is growing. On January 9, we successfully closed on our acquisition of Symmetry Energy Solutions, which is one of the leading suppliers of natural gas in the U.S. and an ideal addition to our footprint. Symmetry operates in 34 states and provides us access to additional physical assets, enabling us to deliver a broad range of solutions for our customers. We expect more gas-fired generation to be built across America, including by NextEra Energy, so having the ability to move molecules around the country is a critical skill set. We are also spending a considerable amount of time accelerating our use of artificial intelligence. In fact, I expect our team to leverage AI better than anyone in America. As we announced at our investor conference last month, NextEra Energy and Google Cloud have entered into a landmark strategic technology partnership to redefine the future of the electric industry. Google Cloud is helping us drive and accelerate our own enterprise-wide AI transformation called Rewire. And Rewire will also help us identify and ultimately build AI-first products leveraging Google Cloud's platform. The plan is for our first products to help enable dynamic AI-enhanced field operations and a more reliable and resilient grid. In fact, we expect to launch our first product at an industry event in early February as our partnership with Google is off and running. As I said at our investor conference last month, past performance doesn't guarantee future results, but I believe it's a strong indicator when the road ahead looks a lot like the road NextEra Energy has already traveled. Across economic cycles, NextEra Energy's financial performance has remained consistent. The difference today is that we have more ways to grow and an opportunity like never before to build new energy infrastructure to meet growing power demand across our country. As we move forward, we will remain focused on what has long defined us: being America's leading utility company and leading energy infrastructure developer and builder of all forms of energy. I couldn't be more excited about our future. With that, I'll turn it over to Mike.
Mike Dunne: Thanks, John. Let's begin with FPL's detailed results. For the full year 2025, FPL's earnings per share increased $0.21 versus 2024. The principal driver of FPL's 2025 full-year performance was regulatory capital employed growth of approximately 8.1%. FPL's capital expenditures were approximately $2.1 billion in the fourth quarter, bringing its full-year capital investments to a total of roughly $8.9 billion. FPL's reported return on equity for regulatory purposes is expected to be approximately 11.7% for the twelve months ending December 31, 2025. During the fourth quarter, FPL utilized approximately $170 million of reserve amortization, resulting in a remaining pretax balance of approximately $300 million at year-end 2025. Consistent with prior rate agreements, the Florida Public Service Commission approved a rate stabilization mechanism that allows us flexible amortization over the four-year period. Under FPL's new rate agreement, this $300 million will be available for future amortization through the approved rate stabilization mechanism. When combined with the other components of the rate stabilization mechanism, which are maintained on an after-tax basis, FPL will have an aggregate after-tax balance of approximately $1.5 billion available over the term of the agreement. This compares to the pretax balance of $1.45 billion that was approved in our prior four-year settlement in 2021. Key indicators show that the Florida economy remains strong, and Florida's population continues to be one of the fastest-growing in the country. Its annual gross domestic product is now roughly $1.8 trillion, or the fifteenth largest economy in the world if Florida were its own country. For 2025, FPL's retail sales increased 1.7% from the prior year on a weather-normalized basis, driven primarily by continued strong customer growth. In 2025, we added over 90,000 customers as compared to the prior year comparable quarter. For the full year 2025, FPL's retail sales increased 1.7% from the prior year on a weather-normalized basis, also driven primarily by the strong customer growth in our service territory. Now let's turn to Energy Resources, which reported full-year adjusted earnings growth of approximately 13% year over year. For the full year, contributions from new investments increased by $0.47 per share, reflecting continued demand growth for our generation and storage portfolio. Contributions from our existing clean energy assets decreased $0.04 per share. Increased contributions from our nuclear fleet were more than offset by the absence of earnings due to the minority sale of certain pipeline assets in 2024 and other headwinds, including wind resource. Our customer supply and trading business increased results by $0.04 per share, driven by increased origination activity and higher margins. Other impacts decreased results by $0.30 per share year over year. This decline reflects higher financing costs of $0.17 per share, mostly related to borrowing costs to support our new investments, as well as increased development activity to support business growth and higher state taxes. For the fourth year in a row, Energy Resources again delivered our best year ever for origination, adding nearly 13.5 gigawatts of new generation and battery storage projects to our backlog. This includes approximately 3.6 gigawatts since our last call. 1.7 gigawatts, almost 50% of our fourth-quarter additions, were solar projects. Our 2025 origination performance reflects growing demand, including from hyperscalers that are looking for speed-to-market power solutions. Our backlog now stands at approximately 30 gigawatts, after taking into account roughly 3.6 gigawatts of new projects placed into service since our third-quarter call. In 2025, we placed over two gigawatts of battery storage into service, increasing our annual battery storage build from 2024 by roughly 220%. We believe our 30-gigawatt backlog provides terrific visibility into Energy Resources' ability to deliver attractive growth in the years ahead. Turning now to the consolidated results for NextEra Energy. For the full year, adjusted earnings per share from our Corporate and Other segment decreased by $0.12 per share year over year, primarily driven by higher interest costs. NextEra Energy delivered three- and five-year compound annual growth rates in operating cash flow of over 14% and over 9%, respectively. Our 2026 adjusted earnings per share ranges of $3.92 to $4.02 per share remain unchanged, and as we said in December, we are targeting the high end of that range. NextEra Energy has met or exceeded its annual financial expectations since 2010, which is a record we are proud of. This provides us confidence in our ten years of financial visibility that we shared with you at last month's investor conference. We expect to grow adjusted earnings per share at a compound annual growth rate of 8% plus through 2032, and are targeting the same from 2032 through 2035, all off a 2025 base of $3.71 of adjusted earnings per share. From 2025 to 2032, we expect that our average growth in operating cash flow will be at or above our adjusted earnings per share compound annual growth rate range. And we also continue to expect to grow our dividends per share at roughly 10% per year through 2026, off a 2024 base, and 6% per year from year-end 2026 through 2028. As always, our expectations assume our caveats. That concludes our prepared remarks. And with that, we will open the line for questions.
Operator: We will now begin the question and answer session. If you're using a speakerphone, please pick up your handset before pressing the key. If at any time your question has been addressed, The first question comes from Steven Fleishman with Wolfe Research. Please go ahead.
Steven Fleishman: Great. Thank you. Hi, John and Mike. So subsequent to your Investor Day, I think Google announced the acquisition of Intersect, the renewables developer. So I'm curious kind of how does that fit in with how you're thinking about your partnership with Google, and if we do see other hyperscalers acquire developers, kind of how do you think about that as a competitive risk? Or how are you just thinking about that if that becomes a thematic?
John Ketchum: Yes, Steve, it's John. Thank you for the question. And first of all, the short answer is it has no impact on our partnership. You know, Google called us, you know, in advance of the announcement and said as much, you know, to us. And here's why. I mean, we have a lot of respect for Intersect, but you know, they're a smaller developer. They're really concentrated in two states, you know, California and ERCOT. And when you buy into a smaller developer, you're buying into their existing position, and you really gotta think through what that existing position comes with. Where are they on safe harbor? Right? Those deadlines have already passed for tax credits. So you're stuck with whatever safe harbor position that they have. A smaller developer is always going to have a small safe harbor position just given the obvious limitations. FIAK, right, is another safe harbor where the deadline has passed as well. We are in an outstanding position in both of those areas, you know, and have a ton of flexibility to add a lot of generation. You're also kind of stuck with their inventory. You know, where are their permitted sites? We have permitted sites across the United States. We have 1.5 times coverage on those sites. You're also kind of stuck with their supply chain position and their relationship. Have they remembered long lead time equipment that has to be secured? So if you weren't planning on an acquisition, you probably didn't have a lot of inventory to start with to go engage in a large build. And so I think that's certainly a limiting factor. We've been very vocal. I mean, we've been out buying equipment for, you know, across the energy value chain. Secured our solar and storage inventory through 2029. I don't think many small developers can say that. And then experience across technologies, you know, you gotta really find somebody that knows all 50 states, that can do business in 50 states, understands the ISOs in and out, working with FERC, working with Washington. And experience across wind and solar and storage and transmission, whether it's electric or gas, all of those things are nuclear and gas-fired generation. Very rare and unusual and unique, the position that NextEra is in. And so I think when you put all those factors together, addressing your other question, the competitive risk, I just don't see it. You know, we are in a period of significant power demand, needing to put electrons on the grid. We have great sites, have 20 data center hubs, you know, that we're developing currently trying to expand that to 40. Small developers just don't have that. And so we're in a great spot, and I couldn't be less concerned.
Steven Fleishman: Understood. One other question just on we've seen a little more noise just on kind of data center fighting opposition or concerns about causing rates to go up and including some, I think, in Florida. Just could you maybe just talk to how you're feeling about that overall, but maybe specific in your Florida plant?
John Ketchum: Sure. I'll turn that over to Scott Borys to address the Florida question, and I'll come back and talk about what we're seeing on the national level.
Scott Borys: Hey, Steve. It's Scott. In Florida right now, we are in legislative session. There are two pieces of legislation out there. One by the house, one by the senate. The senate is the one that's advanced through already through a committee. I will say it's the more constructive legislation. What that is really pushing for is, I'll say, a lot of what our tariff already does, providing protections to the general body of customers. And so we are gonna continue to support that legislation as it advances, and I think ultimately, that is gonna allow us to continue to move our tariff forward and hopefully, continue to get some customers signed up and move that forward, but nothing we're concerned about in Florida.
John Ketchum: Yeah. And when I look at things nationally, that's what's so beneficial about what NextEra Energy brings to the table, right? One, we have a national footprint. Two, we have the ability to really help our customers design affordable and reliable solutions given what we can bring to the table across the energy value chain. We really can help them actually come up with a solution that really threads the needle, you know, around affordability. But also bringing the necessary electrons that are required to create that job creation, create that property tax base. And, you know, like I said in my prepared remarks, I mean, we really see this heading more towards bring your own generation. And I think that's how we've set up our entire pipeline and our developed effort. And, you know, we are one of the very few companies that are out there. And, you know, and if investors are looking for a way to get exposure to a builder, I think we're the perfect answer for that. And I think that's where Washington is heading. I think that's where the various ISOs are heading because it's gonna be really important that the hyperscaler shoulder, you know, the cost associated with the incremental generation that has to be built, the power the data center. And I think we're the perfect partner to do that given the relationships that we have. Given our ability to do things at a much lower cost than our competition. And so feel good about where things stand outside of Florida as well for those reasons.
Steven Fleishman: Okay. Thank you very much.
Operator: The next question comes from Julien Dumoulin-Smith with Jefferies. Please go ahead.
Julien Dumoulin-Smith: Hey. Good morning, team. Thank you guys very much for the time. I appreciate it. Maybe pick it up where Steve left off. I mean, look. I'd love to hear a little bit about how you think and what's the expectations on the cadence of announcements to hit these targets, whether the 15 or 30 gigawatts? And specifically, what does success in 2026 look like in order to ensure you're tracking against those, you know, 15 plus or what have you? And then within that, John, how do you think about the kinds of resource mix? Like, is 15 what's the composition of gas versus renewables, etcetera, etcetera, if you can? And then maybe a sub part of that to tie back what Steve said. How would you set milestones or expectations in FPL specifically? I know you guys talked about the 2028 starting time on a data center. Is that coming sooner or later relative to the near efforts on the hubs?
John Ketchum: Yeah. Let me go ahead and take those in order, Julien. Yeah. So first of all, let's just talk about the development expectations that we laid out at the investor conference. As I've said before, they're not heroic. Right? I mean, they're basically as long as we can do, you know, through 2032 what we've done over the last ten or twenty years, we're gonna be in great shape. Right? I mean, we're counting on, you know, market share that is very consistent with what we've been able to achieve over the last one to two decades. In renewables, it's about 15% to 20%. In storage, about 20% to 30%, and in gas, through 2032, it's only 5% to 10%, you know, market share. You know? So we feel very good, first of all, with the base forecast. Second, when you mentioned the 15 by 35, one of the things that I wanna make really clear is that 15 by 35 is just an origination channel. Right? That's a program that we have on the origination side to hit those very reasonable, very realistic development expectations. It's one of many ways to get there. And when you unpack that 15 to 35 gigawatts, the composition of it is roughly six gigawatts of gas-fired generation by 2035, and it's going COD by 2035, you know, to hit that. And it's a mix of renewables and storage for the balance. So we feel good about where we stand. We hope to be able to do, you know, a little bit better than that. Actually, let me make one clarification. That's six gigawatts of gas by 2032. I said 2035. By 2032.
Julien Dumoulin-Smith: And second, let me talk about the milestones for Florida real quick, and then we'll turn things over to Armando to add some points on Florida. For FPL, we feel really good about where things stand. Right now, we have, you know, 20 gigawatts of interest in Florida. And we have advanced discussions with, you know, customers on roughly nine gigawatts for all the reasons that I had in my prepared remarks. Florida is a terrific data center opportunity for the right partner. I think folks see that. And they realize the benefits and the growth that we're gonna be seeing in Florida, the fiber latency issues, the need to be close to where business is developing in South Florida, all the development that we're seeing across the state. But second, what's really attractive and what's really appealing, I think, for hyperscalers is, look. We have a really, you know, we have a low bill. We know how to get things done. We have a long track record of being able to work with the state, you know, at all levels. And but most importantly, from a customer standpoint, we have a large load tariff that makes sure that the hyperscaler is paying the cost of the additional build, not the customers in Florida. Armando, do you have anything you'd like to add?
Armando Pimentel: Yeah. Just real quick, Julian. So John has in the prepared remarks a sentence that said 2025 was about laying the groundwork and 2026 is about execution. That applies to both companies and certainly to FPL. To answer your question as specific as I can, my expectations is that in 2026 that there will be announcements regarding large load in our service territory. That's certainly what we are shooting for and working for. And that's what 2026 for us is all about.
Julien Dumoulin-Smith: And Julian, just on the question around what does 2026 look like for us for success, I'd just go back to 'thirteen. Comment about '13 is our expectations. This is our kind of road map. That we're gonna track against from the standpoint of where do we think we'll be developing. And so this is the channel feeds into this as John mentioned. So we're looking at the expectations that we're laying out here on page 13 and continue to track against those.
Julien Dumoulin-Smith: Awesome. And just as a quick follow-up in terms of disclosures maybe. And not to put you down too much on twenty-sixth, how do you think about, say, chunkier announcements, you know, say, Google here making specific announcements around that versus, you know, their typical quarterly announcement cadence of singles and doubles to kind of, quote unquote, chip away against that 15 plus gigawatt target on the near side. Should we expect bigger announcements here or is this going to be more of a regular quarterly cadence of tipping away?
John Ketchum: Yeah. I mean, I'll say two things about that, Julien. I mean, first of all, we have a lot going on as a company, a lot of opportunities, a lot of discussions that we're having with customers that are in various stages. You should not expect us to wait for quarterly calls to announce those things. So as they happen, you know, we will, you know, come forward with them on those chunkier deals as you call them.
Julien Dumoulin-Smith: Actually, guys, leave it there. All the best. Good luck.
John Ketchum: Thanks, Julien. Take care.
Operator: The next question comes from Shahriar Pourreza with Wells Fargo. Please go ahead.
Shahriar Pourreza: Hey guys, good morning. Good morning, Shahriar. Good morning. John, just in terms of the nuclear recontracting, maybe just an update in Wisconsin since the existing counterparties need to make a resource decision kind of soon. I guess where do we stand on marketing the open capacity? And just given the amount of acreage that's around the site, could we see sort of a behind-the-meter deal structure there or should we continue to assume a virtual deal just given the BOIG initiatives etcetera?
John Ketchum: Yeah. I mean, you know, first of all, on Wisconsin and Point Beach, I'd say this about all of our nuclear plants. We saw how much interest there was around Duane Arnold. There's a lot of interest, you know, around Point Beach. Wisconsin's in a great spot for data center, you know, build-out. You know, it's no secret, you know, how much interest there's been there, Foxconn and Cloverleaf and, you know, some of the other, you know, expansion opportunities around the state. Very conducive to data center build-out. And so with that, comes a lot of interest, you know, around power generation solutions. And given the relationships that we have with utilities in the Midwest region and with cooperatives in the area. You saw the Whippy deal that, you know, we announced with 14% of the generation already having been secured is one example of that. We feel very good about how that asset is positioned. We're going to be careful and methodical about our approach and, you know, make sure that, you know, we're doing the right thing by our shareholders in terms of what we ultimately do with that asset.
Shahriar Pourreza: Got it. Okay. Appreciate that. And then just on PJM, specifically, a lot of different data points there. But would you participate in the backstop auction there just either on the renewable or gas side? Is it sort of becoming a little bit more constructive as a solution? Thanks.
John Ketchum: Yeah. I think Shahriar, the way I would answer that is still a lot to play out. Right? And you got to have regulatory certainty before you allocate capital against any investment. And so we would have to have real regulatory certainty around outcomes here in order to drive new investment. And I think that is exactly what the administration is trying to do, and I think that's what the 13 governors that signed on to the recent framework agreement or framework proposal that was announced. But PJM has more work to do in terms of coming up with what exactly they plan for the future of that market. But certainly, under the right construct, it could be attractive for new generation, but you have to have, you know, long-term certainty around what capacity prices are going to be. They have to be at the right level in order to support, you know, new investment in that area. And as I look at it, with how we're positioned around BYOG, we have so many opportunities in the United States right now that we are pursuing. But certainly, we have a close keen eye on PJM as well and are watching to see how things play out.
Shahriar Pourreza: Got it. Perfect. That's all the questions I had. Thanks.
John Ketchum: Thank you, Shahriar.
Operator: The next question comes from Nicholas Campanella with Barclays. Please go ahead.
Nicholas Campanella: Hey, good morning. Thanks for taking my questions. Just wanted to come back to the FPL large load discussion. Just I wanted to just understand, you have the tariff framework in place. What is the kind of gating item more on the customer side? Like, what are your customers telling you they're still trying to get done before being able to kind of move forward with an agreement? Is it, like, water, land permitting, zoning? I guess just what needs to kind of fall into place to see some announcements here in '26? Appreciate it.
John Ketchum: Thanks. So look. Customers want to make sure that when they're plopping down the $10 billion or so for all the capital that's needed for one of these that they're in a place that they feel comfortable long-term. And while we have a tariff, there is current legislation being discussed up in Tallahassee that may make a difference in terms of water usage, may make a difference in terms of items that hyperscalers or large load company entities can get from local municipalities or from the state. And waiting to see how that shakes itself out. Scott answered a question before, what's going on in Tallahassee. We feel quite comfortable that we are going to get to a very constructive outcome in terms of what data centers have to look at in order to do business in Florida. But my expectation is, as I answered the question before, is that in 2026, based on what we are seeing, the interest that we are seeing on the ground here in Florida and particularly in the FPL service territory, that there will be some announcements in 2026. So again, I expect there to be a constructive outcome to the legislation that's being discussed up in Tallahassee. And I also think it's very likely that we will have announcements in 2026 regarding large load in our service territory.
Nicholas Campanella: Great. Thanks. Sorry to make you repeat yourself. And then maybe just a quick update on supply chain. I know you have the four to eight gigawatt gas target, and you talked about having secured supply for four gigs. Just when would you kind of secure the additional four? And where do you see pricing right now through 2032? And availability? Thank you.
John Ketchum: Yes, Nicholas. So first of all, we have the four-gig position on gas, which we would put against the opportunity set, mainly those data center hub opportunities that we see and are continuing to advance. I've talked a lot about on this call. From a, you know, when will we, you know, secure more, you know, as our discussions, you know, continue to advance. And we continue to have very good discussions kind of across the board on those 20 gigawatts of data center hubs that we hope to grow to 40 by the end of this year. And, you know, we always make prudent decisions around how we manage our supply chain position. I don't worry too much about it in terms of gas turbine though. I mean, given the relationship and partnership that we have with GE Vernova, our hands on gas turbines at an economic and competitive price is not the top of my list of things to be concerned about. And so I think that probably also addresses the pricing point. I can't give you specific pricing terms and conditions that we would get or that we would see. But I would say they just remain consistent with what we told you, you know, back in December.
Operator: Thank you. The next question comes from Jeremy Tonet with JPMorgan. Please go ahead.
Jeremy Tonet: Hi, good morning.
John Ketchum: Good morning.
Jeremy Tonet: Just want to start off with wind additions if I could. It looked like a little uptick there. Just wondering if you could frame a bit more what you're seeing. Are there some green shoots that could be developing there?
John Ketchum: Sure. We had some wind additions that you saw in '28 and '29 if you're looking at the backlog page. And, listen, I we continue to see balance across our business from the standpoint of opportunities for people who are looking for electrons. And so I don't know, from a green shoots perspective, I do think we'll continue to see more solar, more storage, and then ultimately gas relative to wind. I think that's a trend that continues to move forward. But, you know, we still see interest across the various products. We got a, you know, national footprint and national customer base and the need for electrons kind of varies. So, you know, we're glad to add them, but I think the trend is still gonna be more towards solar and batteries as we think about those various products.
Jeremy Tonet: Got it. Understood. And, if I could just pivot towards SMRs, I think we started to see hyperscalers and other, I guess, end users start to adopt, I guess, one technology to run with. And so, you know, granted it's ways off at this point, but just wondering your thoughts on this and whether you might look to partner with one technology here to go for it as everyone tries to go from a full to NOAC? And just wondering, rough timing and around design approval and then construction timelines, if you were to go in that direction?
John Ketchum: Yeah. Good question. And, you know, we've done a lot of work, you know, around the OEMs. I think we said back in December, you know, we kind of took the 96 or so folks that call them SMR OEMs and called that down to about 12 and then did deep dives on technology commercial assessment around the balance. And, you know, we have a very good feel, you know, as to who may make sense to advance discussions with there. But, you know, whether or not we partner with one, you know, partnering is not something that, you know, we've historically done. We like to create competition, you know, amongst our suppliers unless one particular supplier has concentration in a specific area or has a unique technology offering, and we can enter into an attractive, you know, long-term, you know, pricing arrangement that creates win-wins. But, you know, we're always careful about locking ourselves in with just one counterparty. But obviously, for us to advance on SMRs, is something we are we have an SMR team, first of all, I should say. You know, we are taking this very seriously. We have a development a part of our development organization that is focused 100% on SMRs. So we're not only looking at development around our existing nuclear sites, but we're also looking at greenfield opportunities as well and how an SMR could fit into a long-term solution around a data center hub. As we look to the future. But, you know, any movement up from us on SMRs, I go back to what I said in prepared remarks, has to be under the right commercial terms and conditions where there's appropriate risk sharing, capping on financial exposure, because we're gonna be very prudent and careful how we approach that market. But excited about, you know, the potential. You also asked about some of these announcements where you see hyperscalers, you know, teaming up with one specific OEM. Not sure how much I would read into that. I, you know, I think, really, you know, folks are just trying to learn more and see, you know, who has viable solutions out there. We'll see which ones actually advance over time. But, you know, that's what we are keenly focused on. And in any discussion, it's not around SMRs. It's not only with the OEM. It's with the hyperscaler as well. It's with the government. Right? I mean, it's gonna take four parties coming together to come up with the right structure that makes sense, but it's something we're very focused on.
Mike Dunne: Yeah. And then the only thing I'd add, which I know we've said before, is while we are spending a lot of time, it's not in our expected. That would be upside to our plan if we were able to put something together. We are spending all that time that John talked about, and it would be upside to our plan. But our base plan doesn't have SMRs in it. And so we but we do think it could be good upside. We're spending real time on it because I think there's an opportunity that we're excited about.
Jeremy Tonet: Got it. Makes sense. One quick last one if I could. It does seem like the federal government is putting in very significant billions of dollars to support SMR, in nuclear development here. Just curious, think, if there's anything missing or what more could be put in there to get the market going in this direction?
John Ketchum: Yeah. I think, first of all, I think the administration is doing all the right things. Like you said, I mean, they are really trying to enable American energy dominance across the board. And excited about many of the programs that are coming forward with around nuclear in particular and around SMRs advanced nuclear. I think that just those programs that they've already established create the opportunity for that four-way discussion, you know, that I just mentioned in a very constructive way that, you know, I think it, hopefully, get one of these projects off and off and running. Under the appropriate commercial, you know, structure. But more work to do there. Right? I mean, you know, you've I think we've made some very good progress, you know, in that area, and I think the government is doing the right things. And so, you know, up to developers and OEMs and customers to come together to work with the government on the right framework.
Jeremy Tonet: Got it. Thank you. I'll leave it there.
Operator: The next question comes from Carly Davenport with Goldman Sachs. Please go ahead.
Carly Davenport: Hey, good morning. Thanks for fitting my question in. You had mentioned earlier the PJM recommendation for the transmission project with Exelon. I guess there's been some degree of pushback in Pennsylvania on that project given the cost and some of the shifts on the PJM load forecast. Can you just talk a little bit about that and your confidence in that project moving forward?
Mike Dunne: Sure. Listen, I think our confidence continues to be high. PJM management continues to recommend we expect them to continue to recommend for the board and the ultimate board meeting up. We're listening to everyone, all the stakeholders, the OCA as they continue to think about this project. But we think this is important for reliability. It's the lowest cost to answer in the region to achieve that reliability, and then it continues to be supported by PJM. So we feel good and continue to feel good and we'll continue to listen to all the stakeholders throughout the process.
Carly Davenport: Great. Thank you. And then just on the adjusted EBITDA outlook for '20 at near, if we look at the year-over-year guidance for both gas pipes and gas infrastructure, that looks down year over year. So just curious, given the asset purchases in that area this year, kind of what drives that decline? And if you see any potential upside, obviously recognizing that's a smaller piece of the pie today?
John Ketchum: Yeah. I think as we've mentioned on the natural gas pipelines, it's going to be an area that we continue to grow over the course of the next decade. If you look at what occurred between 2025 and what we look at for 2026, simply as you looked at our proportionate ownership share in Explorer, they had a pipeline of mean that they divested at Explorer, and that brought down that EBITDA. But as we look on a go-forward basis, pipelines will be, you know, a critical piece of our growth trajectory for 2026 and beyond. And listen, as you look at gas infrastructure, I think the reduction in EBITDA is relatively small. $50 million or so. So as you look at that piece, we'll continue to see that have a place in our overall structure, but I wouldn't necessarily expect that to be a key piece of our growth trajectory.
Carly Davenport: Got it. Thanks so much for the color.
Operator: At this time, the conference has now concluded. Thank you for attending today's presentation. You may now disconnect.